Operator: Good afternoon and welcome to the Amtech Systems fiscal 2012 third quarter results conference call. All participants will be in listen-only mode (Operator Instructions). After today's presentation there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Brad Anderson, Chief Financial Officer. Please go ahead.
Brad Anderson: Thank you, Amy. Good afternoon and thank you for joining us for Amtech System’s third quarter fiscal 2012 results conference call. On the call today are J. S. Whang, Amtech’s Executive Chairman, Fokko Pentinga, our President and Chief Executive Officer and myself Brad Anderson, Chief Financial Officer. After the close of trading today, Amtech released its financial results for the quarter ending June 30, 2012. The release is posted on the company’s website at amtechsystems.com. During today’s call, management will make forward-looking statements. All such forward-looking statements are based on information available to us as of this date and we assume no obligation to update any such forward-looking statements. These statements are not guarantees of future performance and actual results could differ materially from current expectations. Among the important factors which could cause actual results to differ materially from those in the forward-looking statements are changes in the technologies used by our customers and competitors, change in volatility and a demand for our products, the effect of changing worldwide political and economic conditions on government funded solar initiatives, capital expenditures, production levels, including those in Europe and Asia, the effect of overall market conditions, including the equity and credit markets and market acceptance risk. Other risk factors are detailed in the company’s Securities and Exchange Commission filings in including its Form 10-K and Form 10-Q. J. S. Whang, our Executive Chairman will start our discussion today. Fokko Pentinga, our President and Chief Executive Officer will update you on current operations and discuss the progress in our technology and product development roadmap. I will then discuss third quarter financial results and our outlook for the September quarter. So I'll now turn the call over to J. S. Whang, our Executive Chairman to begin the discussion.
J. S. Whang: Thank you, Brad. Good afternoon everyone and thank you for joining us. We appreciate your continued interest Amtech Systems. Let me first say that although this remains a very challenging environment, we continue to execute strategy of providing our customers with an increasing number of products and technologies to support the next-generation higher cell efficiencies. Our CEO, Fokko will update you on those products and technologies today. With solar industry’s overcapacity, reduced service fees and demand in Europe most customers focus is on managing the balance sheet and operating cost issues. However, we believe once customers complete this necessary task the next available avenue for them to further reduce the cost of their product is through cost effective next-generation higher cell efficiency technologies and we are looking forward to beginning of that technology buying cycle. It is very clear that solar is now becoming an integral part of our global energy mix and solar as a part of that mix is growing; year-over-year solar installation are increasing in many regions of the world. This will fuel future solar growth and the continued need for advancing the solar technologies. We are intensely focused on that longer term opportunity. Let me now take you on comments we have shared previously regarding our efforts on external growth opportunities. While we were able to make significant progress on our goal of diversifying the revenue mix, at this time, our Board and management concluded it is more prudent to focus on internal innovations. Therefore, we agreed to temporarily postpone moving forward on this opportunity. We continue to address all opportunities to mange cash during this stage of the downcycle. As a part of Amtech’s recent overall cost reduction program, our senior officers have taken voluntarily salary reductions and in addition to that we have reduced Board fees and other corporate salaries. The Board, senior officers and our entire organizations are united with a common focus on Amtech’s long-term goals. Before I turn the discussion over to Fokko, we appreciate your continued interest in Amtech and assure you that we remain committed to our longer-term objectives. We are 100% focused on maintaining our market leadership position, delivering new products into the marketplace, preserving cash, diversifying our revenue mix over the longer-term and delivering value to all key stakeholders in the near and longer-term. And now I will turn the call over to Fokko Pentinga, our President and CEO who will discuss current operations and our technologies under development. Fokko?
Fokko Pentinga: Thank you J. S. We continue to work very closely with our customers and during this quarter well in regards to obtaining customer acceptances. Given the current headwinds for all solar industry participants, this quarter’s level of acceptances on tools was clearly reflect not only developments of Amtech’s technology, but the diligence of our sales, service and technology support teams and the quality of our customers. Despite the current headwinds, Amtech remains very well positioned to consistently deliver on its long legacy of providing high value of products and services to the market. We continue to collaborate with our customers in joint pursuit of advanced technologies essential to meeting the longer-term demands for the solar solutions. Such collaborations, collaborative partnerships are strengths of our business model and have driven our success overtime. In May, our solar subsidiaries Tempress Systems and Kingstone Semiconductor exhibited at the SNEC 6th International Solar Industry and Photovoltaic Exhibition and Conferences in Shanghai. The SNEC Exhibition is the largest solar exposition within the industry. At the show we unveiled our ion implant system and our new tube-type batch PECVD product. We saw much enthusiasm for these technologies and we engaged in conversations with current and perspective customers. Our solar subsidiaries have and will focus our resources on the development of our next-general technologies and on ensuring we maintain highest level of customer service. We continue to invest in R&D and what we believe will be transformational and potential disruptive technologies. We are confident that our new products will be recognized as high value solutions in the markets unending pursuit of high efficiency solar cell production at a lower cost of ownership and let me now review our newest technologies. First the solar implant technology. Our ion implant system developed from ground up at our China subsidiary Kingstone Semiconductor is designed to deliver the specific needs in the solar industry. It provides our customers with more complete solution for the next-generation high efficiency solar cell production and as an upgrade to their existing solar cell manufacturing lines. We have been processing wafers for a selected number of customers and results continue to look very promising. On PECVD, in regards to our new PECVD product our subsidiary Tempress Systems has capitalized on our extensive expertise with diffusion best processing in PECVD development. We are excited about this product and it doubles the size of the solar market Tempress serves. However, due to current headwinds in the solar industry placement of our first systems will take some time. On N-type, together with our technology partner, ECN, and also Yingli, the development of N-type technologies continuing for future high efficiencies sales; offering today it’s at 19.5% efficiency and we have a roadmap for efficiencies to 20% and more. Now on the market situation. At this time, I will conclude my comments again noting that the markets visibility is limited and we remain cautious about forward demand. We continue to align cost with current sales and operating environment while we maintain our ability to be highly responsive to any change in demand. We are excited about our new technologies and although timing of future of this is uncertain, we can say with confidence that there is a real interest in the marketplace. I will now turn the call over to Brad to discuss the quarter’s financial results.
Brad Anderson: Thank you, Fokko. Let's review our third quarter results. Net revenue for the third quarter of fiscal 2012 was $24.3 million, up 13% sequentially from $21.6 million for the preceding quarter and down 66% from $71.9 million for the third quarter of fiscal 2011. The sequential improvement was driven primarily by higher revenue recognition of acceptances received from customers in the solar industry. Semiconductor revenue totaled $9.1 million, down 17% from the second quarter of fiscal 2012 and 19% lower than the third quarter of fiscal 2011. Total orders in the third quarter of fiscal 2012 were $6.1 million, $700,000 of which were solar, down from total orders of $18 million in the second quarter; that quarter was benefited from selective capacity expansion by both solar and semiconductor customers. At June 30, 2012, the company's total order backlog was $35.6 million compared to total backlog of $67.4 million at March 31, 2012. Total backlog at June 30th includes solar backlog of $26.1 million compared to solar backlog of $54.1 million at March 31st. Foreign exchange caused a $3.2 million reduction in backlog in the June quarter. Backlog includes deferred revenue and customer orders that are expected to ship within the next 12 months. While there were no significant order cancellations in the quarter, the reduction in backlog during the third fiscal quarter reflects our estimates that certain customer orders will not be delivered within the next 12 months. Gross margin in the third quarter of fiscal 2012 was 20% compared to 19% sequentially and 36% in the third quarter of fiscal 2011. The slightly higher gross margin compared to second quarter of 2012 reflects higher revenues partially offset by an increase in inventory write-downs, accruals for purchase order cancellation and higher warranty related costs. Those reserves totaled $3.7 million in the quarter. Our SG&A expenses in the June quarter were $6.4 million compared to preceding quarter of $6 million. The increase was primarily due to higher marketing and sales expenses associated with key solar trade shows. SG&A expenses in third quarter of fiscal 2011 were $12 million. Research and development expense was $3.7 million in the third quarter of fiscal 2012 compared to $3.3 million in the preceding quarter and $1.9 million in the third quarter of fiscal 2011. The year-over-year quarterly change is primarily due to investments in the company’s solar ion implant project and development costs associated with other solar product and technology development programs. Depreciation and amortization in the third quarter fiscal 2012 was $727,000 compared to $760,000 in the second quarter of fiscal 2012. Included in the third quarter of fiscal 2012 results is $438,000 of stock option expense compared to $356,000 in the fiscal third quarter year ago and $437,000 in the second quarter of fiscal 2012. Income tax benefit in the third quarter of fiscal 2012 was $1.1 million resulting in an effective tax rate of approximately 21%. The net loss for the third quarter of fiscal 2012 was $3 million or a loss of $0.31 per share compared to a net loss of $5.1 million or $0.54 per share in the preceding quarter. The lower loss was primarily due to higher revenue associated with customer acceptances partially offset by increased investment in research and development. Net income for the third quarter of fiscal 2011 was $7.3 million or $0.74 per share. Total revenue by geographic region for the fiscal third quarter was the Asia-Pacific region at 73%, Europe at 17% and North America at 10%. We continue to maintain a solid financial position with essentially no debt and total cash and cash equivalents of $42.3 million compared to $48.8 million at March 31st, and $54.9 million at December 31st. The decrease in cash is primarily due to continued investment in new technologies including our solar ion implanter and operating losses. Further cost reductions are being implemented in this quarter including salary reductions of senior officers, the Board and corporate employees and are expected to result in cost savings of $6 million to $7 million in fiscal 2013 when compared to an annual run rate of the first half of fiscal 2012. At June 30, 2012, we had working capital of approximately $80.3 million. We continue to manage our operations to maintain our solid financial position. We are focused on reducing the purchase commitment from managing inventory to an appropriate level. Over the course of these first nine months of fiscal 2012, we have reduced our purchase commitments by approximately $30 million. Now let me turn to our outlook. The supply demand imbalance for solar cells and modules continues to negatively impact the entire solar supply chain and some orders have been pushed out to fiscal year 2013. As a result, company expects revenues in its fiscal 2012 fourth quarter ending September 30th to be in range of $15 million to $17 million. Gross margin percentage is expected to be similar to the June quarter. Total SG&A and R&D expenses are expected to be lower and the company expects to incur a net loss in the fourth quarter. As a reminder, our operating results could be impacted by the timing of system shipments, the net impact of revenue deferral on those shipments and the recognition of revenue based on customer acceptances, all of which have in the past and can in the future have a significant effect on operating results. In addition, a substantial portion of the revenues is denominated in Euros. The revenue outlook we are providing is based on and assumed exchange rate between United States dollar and the Euro. A significant decrease in the value of the Euro in relation to the US dollar could cause our revenues to be lower than anticipated. This concludes the prepared remarks section of our conference call. Operator, please open the call for questions.
Operator: (Operator Instructions) And our first question comes from Colin Rusch at ThinkEquity.
Colin Rusch - ThinkEquity: Can you talk about what’s the level when we think about for R&D spending on an ongoing basis in the next year?
Brad Anderson: Colin this is Brad. And obviously the level of R&D spending this year so far today has been higher than we've been historically and that's been driven by our ion implant development. We've made good progress there. We talked about the build of abated tool which occurred depending on when we need to build further tools will have an effect on the timing of how much gets charged on our R&D. So we expect it to be lower, to trend lower than in the past two quarters.
Colin Rusch - ThinkEquity: And can you talk about what the key triggers are for your clients to start placing orders again. Are they meaning to return to generating positive operating cash flow or are they just looking at ROI on the systems for existing business or are they concerned at this point about product development from competitors and keeping up with efficiency metrics that they are seeing from competitors?
Fokko Pentinga: Fokko here; and also there's not just one answer and there are some Tier 1 customers which I think will start doing further investment based on what place they want to be in the next few years. So the exact trigger of changing to profitable again may not be the only trigger. And besides that there were quite a few customers particularly in China that are government owned and they have their own plants, so there is not one answer to that. If you would say the average market they want to see the real and stabilizing of the market and an improvement, but I don't think that that category or that group is, it will be a bit more unpredictable, because its not so easy to see when that exactly is going to be, but common sense that the other groups that I mentioned will start investments again next year in order to keep their position in the market or just to make sure that they have sufficient supply and get a better position and the ranking of solar cell manufacturers.
Colin Rusch - ThinkEquity: And doing the tariff kind of back and forth between you and China; are you seeing any new geographies trying to emerge as potential opportunities for Amtech?
Fokko Pentinga: I don’t see that really happening yet so far; that would mean that a new manufacturing facility should be built in Europe and are looking at a potential tariff in Europe and the US, and I don’t see that happening yet. Could that be in as for the next year, possibly, but for now I think they find sufficient alternatives either through other places in Asia to get their supply up. So I hope it will happen, but other than things that have already been published where companies will start production here in the US, but that have not directly anything to do with the tariff, it may help a little bit; I don’t see that happening right now.
Operator: The next question comes from Jeff Osborne at Stifel Nicolaus.
Jeff Osborne - Stifel Nicolaus: Brad, I'm not that familiar with Dutch labor laws, can you just walk me through what the restructuring charges will be in the next two quarters and what portion is cash and non-cash?
Brad Anderson: Sure. As we issued a press release, basically concurrently with the earnings call, in that, we have talked about the cost savings and also that because of the flexible nature of the labor that we brought on; we don’t expect to incur any significant restructuring charge. Without going into a lot of details there are basically several tiers and the highest tier just say that you look at from a labor pool or people you have hired through contract agencies. And then from there you have people, who are what are called temporary contracts, and we are still working through that pool and as our contracts expire you just don’t renew the contracts.
Jeff Osborne - Stifel Nicolaus: Okay. May be for Fokko, it sounds like you a scrubbing of the backlog this quarter with the decline and can you just walk us through the process of your interaction with customers and what comfort level you got that actually the orders will be pushed out beyond 12 months?
Fokko Pentinga: Yes we are constantly in contact with the customers and so at the end of definitely every quarter we will double check and see what they believe is going to be the required shipping date and in some cases we also have our own judgments where we think that may not necessarily actually happen so we believe it is not really going to ship in the next 12 months then we also deducted because cancellations haven’t really happened much and customers still believe that most of it, it’s shipping in the next 12 months but we also have to be realistic and have our own judgment on that. So that’s pretty much what I can say about it and again may be things that we take out now because we don’t believe it’s going to happen in the next 12 months as soon as the market changes, it may come in the backlog again but we took a reasonable realistic approach in backlog.
Jeff Osborne - Stifel Nicolaus: I understand and then may be one more for Brad here on the ion implant data unit, can you just remind us of the revenue recognition policy I guess it is confused it sounded like you mentioned that you are continuing to sample wafers through that but then you also in response to Colin's question talked about R&D going down. My assumption was that you are going to try to sell that unit that you have and you are forced to build another one and my understanding was you couldn't record any revenue on the ion implants tools until you actually sold three of them. So I guess I was expecting R&D to be guided to be up given the continued investment needed there and also the revenue recognition policy that you have?
Brad Anderson : Sure I think part of the solution that equation is we rebuild that data tool that build is going into R&D expense and there are some going testing that is done that hits R&D but the big chunk of it is for when we build two and its not so in inventory that will be a nice pick up when we eventually recognize revenue upon our customer acceptance but we have to have that happen for I think two tools.
Jeff Osborne - Stifel Nicolaus: On two tools, okay, got you. And then few other quick ones here, any impact on the Centrotherm insolvency filing and then just going at the second one any view of potential grey market equipment out there and the impact you are buying new tools?
Brad Anderson : Well for the Centrotherm insolvency I think they are not sure what's going to happen to them so it's also very difficult for us to see what the end result will be. Definitely customers that have their equipment are looking at that equipment, are a little bit less confident with them as they were before and so that has an effect but as there is not much buying going on the net effect is not so big at the moment, and I think it will be at least a couple of months before larger volume orders come around and by that time we only have a three months umbrella of which one is almost done. So I think they will find a way for what's the difference there will be a different company than they were before and so for us to say what that's going to be is hard to say for us.
Jeff Osborne - Stifel Nicolaus: I understand and then on the user grade equipment out there with the options that are taking place?
Fokko Pentinga: Yeah, so far I have not seen too many of that happening. So far not many facts are really shut down in a way that they don't plan to at some point in time to put the lights on again and yeah, I know being one customer that got equipment and he is not going to install them when they are available but it’s a small number so its mostly from what I can say, from what I can see small people talking about that actually see those being offered on the market for lower prices or I don't see much of that right now. It could change any time but so far we haven't really seen it.
Operator: Our next question comes from Jay Srivatsa at Chardan Capital Markets.
Jay Srivatsa - Chardan Capital Markets: In terms of breakeven given the cost reductions you are doing what kind of revenue run rate do you expect you need to get to achieve breakeven going forward?
Brad Anderson: Jay, its Brad. Again that depends on the product mix and level of customer acceptance in any quarter because that makes tremendous impact on our margins. So obviously it helps to lower that breakeven but as we get into more outlook for fiscal 2013, we will feel share to a little more insight to that in your year-end conference call. Once we see those costs really in place and started generate those savings.
Jay Srivatsa - Chardan Capital Markets: Okay, in terms of your inventories that you’re holding, given some of the order push outs, are you expecting any write downs in inventories or you expect to be able to sell this through?
Brad Anderson: Well in the quarter, every quarter we do an analysis of our inventory and in this quarter we did the same thing and actually looked up a little bit. So we did take a considerably pretty substantial charge to our inventory and you know, that $3.7 million majority of that came from inventory reserve. So we look at that on ongoing basis and it will depend on what we see as the outlook at September 30 and really drive whether there are reserves and most of reserves were booked from a more from a usage standpoint than saying a part is essentially obsolete. So if the market does recover, this is useful inventory. It is obsolete because of the technology change or anything like that.
Jay Srivatsa - Chardan Capital Markets: Alright. Last question in terms of the cash position given you are guiding to some losses for next quarter, I guess the question what’s the minimum level of cash do you feel comfortable maintaining as you look ahead to 2013 and how do you hope to be able to keep it at those levels?
Brad Anderson: On the first part of the question as a finance guy you always want much cash as you can have and feel comfortable with. So the answer to second question is the announcement today this next phase of cost reductions as indicative of how we approach managing through the downturn and if we don’t see any pick up in the near term from an outlook standpoint then we will continue to look at our cost structure and there is more room if we need to reduce cost and manage our cash. While we have gone down considerably from our cash balance from where we were at September 30 the rate of decrease has slowed significantly and that we continue to work on making that rate decrease even as we move forward in the next several quarters. So we will continue to manage our cost structure and hope bring that down. If you look at our cash burn and look at the cash flow statement and you look at really what burned through the P&L was much less than the total cash reductions, so most of that cash is still sitting has been used and sitting in working capital and versus being burned through the P&L.
Jay Srivatsa - Chardan Capital Markets: Alright, last question for Fokko in terms of the Centrotherm's bankruptcy, what does it do to the landscape competitively, assuming things improve at some point in time in the future does it will help your cause in terms of gaining some market share from some of their existing customers or do you expect Centrotherm to continue to be in existence and get back into the game at some point?
Fokko Pentinga: It's the last one. I do expect because its not a real bankruptcy, it is a restructuring under their own control and its been so I expect that it was a strong company with good product supporting a growing industry so I would be very surprised if they would not come out of this again in a different form, but still continue to be a competitor. And what it will change is I think compared to us although of course due to the whole market changing so much we all strong but again in size comparing I think it will be less bigger of a difference than it was in the last couple of years because they will have to do a lot of restructuring in order to become stable again. So I think it could help us in our market share, but of course there is more competitors that will try to get in there as well but I don't think it is at this point negative for us and so it could create some opportunities. But then again we don't know yet how well are the restructuring they are able to do and how they will be after that restructuring, so we will have to look and see. I think they took a good moment to do this because there are not too many orders to be given today. So besides the umbrella for creditors, there is also not a huge impact on the sales because there is not too much orders to be given. So we have to look and see in about two three months.
Operator: (Operator Instructions) And our next question comes from Mark Miller, Noble Capital.
Mark Miller - Noble Capital: Just wanted to go back to the (inaudible) plant and how you might start generating revenues. You mentioned that there would have to be two tools separate out there and basically accepted and then what accruals are we looking six months a year is kind of go into pace of the solar industry recover. Is it going to be faster or slower than that?
Brad Anderson: That’s really hard to say because first of all, the last one I think is correct. The whole industry has a big effect on that. If the industry would have been like it was two years ago things would have moved on a lot quicker. So customers deciding on actually, starting and installing a better tool or having a joint development project is different now than it was then. So yes the whole solar industry will have an influence but besides that we are working on a couple of projects and we are doing wafer sampling for them. So we are still reasonably confident that in the next six months we will have one or two of those machines, install the customers and then how quick acceptances go, that also depends on what you want to achieve but we’re quite confident on that and the machine development been going well and customer interest is high but expect timing is a little difficult to say.
Mark Miller - Noble Capital: Just wondering if you have gotten win of any even rumors about China doing anything to help support the solar industry, the government of China, anything coming down the pipe in terms of incentives or you need to help that industry at least in China?
Brad Anderson: Other than the ones that has been published where they have the feed in tariff and so I don’t really know if anything else, but we do see that as I said earlier in the call, that some of the tier-1 customers want to maintain their position in the market and some of the China owned or stated owned companies still will move forward in their expansion plan. So in which way that is financed, I don’t know. But it does give me the indication that they definitely will continue to support that industry and probably as they also mentioned with selected group of companies they will not do it over the board but its selective group of companies and we continue to see that self confidence in those companies is still quite good. So that’s good sign.
Operator: Our next question comes from the Howard Halpern of Taglich Brothers.
Howard Halpern - Taglich Brothers: I was getting through 10-Q filing and I just wanted to make sure I read one part right about we will be making a $5 million cash payments for tax in the fourth quarter?
Brad Anderson : Yes, and I think the disclosure is that will be paid in the second half of calendar 2012.
Howard Halpern - Taglich Brothers: Okay, I just wanted to make sure I heard that right. And then just in terms of I know you discussed it earlier but I don't know if you can place an actual number on it but what are you seeing in terms of inquiries from existing customers versus new customers that you have in service before?
Brad Anderson : Well, the majority remains with customers that we know but then again we do know most of the customers and very large portion of the larger customers are our customers. So saying its not our existing customers already cost us a very large portion of it and yes we do get some more interest from people that were not necessarily our customers and due to the change and also earlier mentioned our companies having maybe some even more difficulties than others, we do see a slight change in that there's a bit more interest from those that were not our customers before.
Howard Halpern - Taglich Brothers: And with regard to China, could the trigger for increased spending for the solar industry once top I know they are going through a political change over and that should be done by the end of the year, do you that might be the trigger as to when spending might really get going after that change is made?
Brad Anderson : Frankly I don't know, I don't have any indications on that but then again I really don't know.
J.S. Whang: As you are aware the China National Energy agency they came with a lot new solar installation plan by 2015 and to 21 gigawatt and there is a about six gigawatt more than they previously announced few months back, and so if we look at the end of this calendar year estimated the total installed base or will be around 5 gigawatt and there will be another 15 gigawatt to 16 gigawatt installation over next two, three years and so I think of those customers particularly our tier one customers are (inaudible) petitions to make sure that the have chunk (inaudible) over that and if wherever they can really do put 15 gigawatt, 16 gigawatt, well trigger capacity expansions and that will may happen in 2013.
Operator: (Operator Instructions) This concludes our question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Brad Anderson : Thank you, Amy; and thank you all for your time today and for your interest in Amtech. I will be available for any additional questions you may have and welcome your follow-up calls. This concludes today’s call. Thank you.
Operator: Thank you for attending today’s presentation. You may now disconnect.